Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Scripps Second Quarter 2023 Earnings Call. [Operator Instructions]. I'd now like to turn the conference over to our host, Investor Relations Officer, Ms. Carolyn Micheli. Please go ahead.
Carolyn Micheli: Thanks, Brad. Good morning, everyone, and thank you for joining us for a discussion of The E.W. Scripps Company's financial results and business strategies. You can visit scripps.com for more information and a link to the replay of this call.  A reminder that our conference call and webcast include forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. We do not intend to update any forward-looking statements we make today.  Included on this call will be a discussion of certain non-GAAP financial measures that are provided as supplements to assist management and the public in their analysis and valuation of the company. These metrics are not formulated in accordance with GAAP and are not meant to replace GAAP financial measures and may differ from other companies' uses or formulations. Included in our earnings release are the reconciliations of non-GAAP financial measures to the GAAP measures reported in our financial statements.  We'll hear this morning from Scripps' President and CEO, Adam Symson; Chief Financial Officer, Jason Combs; and Scripps' Chief Operating Officer, Lisa Knutson. Here's Adam.
Adam Symson: Good morning, everybody. Today, I'd like to provide you with a big-picture perspective on this moment in the television landscape and how Scripps is executing on its plan to capitalize on our industry's evolution.  The television industry is experiencing an era of volatility, where the growth of streaming is upending a long successful business model. But as a wise and very successful investor recently reminded me, just because everything is moving towards streaming doesn't mean it in and of itself is a good business.  For most in the industry, the math on streaming alone doesn't work. And as media investors are well aware, the path to value creation is far from certain. Content creators are rebelling against the new model, sparking the most significant strikes in Hollywood history. Experts have said the strikes are fueled by existential worries over the industry's future. And it's no doubt that the end result will make the economics for streamers worse.  In this chaotic climate, Scripps has carved out its own valuable niche, linear television viewing driven by entertainment, live sports, news and the consumer proposition of free TV. And despite a temporary hurdle driven by inflation and a soft ad market, we see a return to growth ahead fueled by our aggressive all-of-the-above distribution strategy as we attack our opportunity to increase yield from pay TV, expand upon our leadership in free over-the-air television and create new incremental value through a profitable approach to connected TV.  To be sure, linear TV audiences are declining. Consumers are spending less time watching traditional television and turning increasingly to subscription services. Under pressure from sub declines, the cable programmers are eroding the quality of their product and shifting attention to still-questionable ambitions in D2C. That's probably because they simply don't have what we have, that all-of-the-above distribution strategy.  Scripps' linear business makes use of both pay TV and the growing over-the-air ecosystem. So it's no wonder that in the midst of this carnage from consumer preferences, our portfolio of networks is growing share of viewing. We expect free OTA TV to play an even more significant role in the new bundle ahead.  One factor we forecasted many quarters ago is now coming to fruition, the shift of sports rights to broadcast television. By our count, at least 6 major professional rights deals announced over the last 6 months went to broadcasters, from NASCAR to college football to our own WNBA on ION, and of course, regional deals like the one we announced that is bringing the Stanley Cup-winning Vegas Golden Knights to Scripps' local broadcast stations in Nevada, Utah and Montana.  The teams and owners understand well that D2C will be a lucrative opportunity for the future, but that the reach from broadcast distribution in parallel will be the price of admission to get there. While we expect more live sports to be a catalyst for growth, we will continue to educate consumers on the benefits of free over-the-air television as a way to grow our viewership and audience reach.  Our scale in linear distribution, underpinned by our network of 109 television stations across this nation, is a core asset for us. At the same time, we understand that American television viewers will continue to consume and demand more from connected TV. So to tackle that opportunity, we have aggressively claimed territory in that space as well.  As of this year, our national networks' brands are widely distributed across streaming, smart TV, virtual MVPD and other connected TV platforms, and particularly on the rapidly fast-growing FAST channels. We acted quickly to establish a first-mover advantage and now are building audience and seeing significant growth in ad revenue.  That's high-margin revenue because our FAST networks open up a new opportunity for us to monetize some costs, relying mostly on our linear programming streams or original content we already own as with our two latest FAST channel launches: Court TV Legendary Trials and Laff More. In the meantime, linear advertising remains a very large and lucrative marketplace, projected by Magnite to be $54 billion this year, enormous even in the midst of anemic macroeconomic conditions.  In that linear marketplace, Scripps has continued to garner profit margins that far surpass those of D2C streaming businesses, at least the ones that have profit. Like all industries, we are subject to economic fluctuations. So the current ad industry recession is affecting our growth rates. And as a result of that climate, we recognized an impairment in our Scripps Networks business.  Our Networks business remains strong. And as I said, we expect its revenue growth and profitability to rebound along with the national ad marketplace. The networks come together with our local stations to form the foundation of the linear viewing, connected TV and free TV strategies I've been discussing. The WNBA deal with Scripps Sports could not have been executed without our acquisition of ION.  And at the local level, we were able to redeploy ION's spectrum in two markets to launch independent stations that will become the home of the Vegas Golden Knights. We have preserved ION's reach in those markets through other channels. And at the same time, we created two new local station duopolies. It's another good example of how the ION acquisition has enhanced our economics.  As we pursue the best and highest use of our spectrum for enhanced shareholder value through television, I'm enthusiastic that we'll be able to add datacasting through ATSC 3.0 to the list of strategies that make use of our massive distribution platform. We continue to make progress on the work we are doing with Nexstar, HPE and Sony with a core network live in four markets, a necessary first step as we bring this business to the mobile wireless data marketplace.  Our latest company reorganization was designed to position us for future growth in all of these distribution areas. Rather than being exclusively focused on the local station group or the Scripps Networks portfolio, our leaders are now charged with executing on opportunities that encompass all of our assets. This repositioning has already proven effective in sports and in news and created efficiencies in distribution, marketing and operations. And we are on track to realize at least the $40 million in annual savings we had projected.  The media business is changing dramatically as it has done many times over our company's 145-year history. Our aggressive but steady approach to navigating the convulsions has proven to create value time and again for our shareholders, just as I'm confident it will this time around.  Over the last 5 years, the company's move to dramatically enhance our scale in television have more than doubled revenue, more than tripled segment profit and expanded margins, leaving us well positioned to benefit from the inevitable return of the ad market. I'm sure shareholders along for the ride will benefit, too.  Now here's Jason.
Jason Combs: Thanks, Adam. Good morning, everyone. For the second quarter, we reported financial results that nearly all met or exceeded the expectations we set in May with a significant beat on segment company profit.  Our segment profit overperformance was driven by our Scripps Networks segment, which delivered stronger-than-expected revenue because of higher ratings and increased demand in the scatter market. The Networks portfolio grew connected TV revenue by 18% from Q2 of last year. While a very strong growth rate, it is less than we had projected for networks' CTV. We're sunsetting a low-margin legacy programmatic advertising product because it's no longer in line with our evolution of CTV advertising. Backing out the impact of that product, CTV revenue was up about 80%.  In total, Scripps Networks revenue was $231 million, down 3%. Scripps Networks segment expenses were $171 million, up about 3% from the prior year quarter because of higher employee costs and distribution fees as well as the incremental expenses for the WNBA on ION. Segment profit for Networks was $60 million.  In our Local Media division, revenue was down just 1% from the prior year quarter. And core advertising was down 5% as local and national businesses continued to deal with ongoing inflationary pressures on consumer spending. Local distribution revenue in Q2 was up 14% to $195 million, fueled mainly by contractual rate step-ups. Local Media expenses declined by 1.4%, aided by our move to comScore and by tight expense management in this economic environment. Local Media segment profit was $81 million.  In other, we reported a loss of $6.3 million. Shared services and corporate expenses were $23 million. The loss attributable to shareholders of Scripps was $682 million or $8.10 per share. A noncash goodwill impairment charge and restructuring costs for the quarter accounted for $8.01 per share.  Despite the better-than-expected Q2 performance, the implications of the ongoing economic downturn and resulting impact on the national advertising marketplace has led to the impairment charge in our Q2 financials. The restructuring charge in the quarter was $8 million. We announced in January a company-wide reorganization, and restructuring costs are related to that work.  As of quarter end, cash and cash equivalents totaled $39 million. Our net debt at quarter end was $2.9 billion and our net leverage was 5.3x per the calculations in our credit agreements. That has run a bit higher for the last 2 quarters because in our trailing 8-quarter calculation, we have begun to lose the benefit of several quarters where the economy was bouncing back after the pandemic.  Effective July 31, the company decided to increase the size of its revolver to $585 million and use the revolver to pay down its term loan B-1, which was scheduled to mature in October of 2024. The new revolver better aligns with the company's current scale and provides additional financial flexibility.  Looking ahead to the third quarter of 2023. In the Scripps Networks division, we expect revenue to be down in the 10% range and expenses to be up low single digits. Our revenue guidance compares against a very strong third quarter last year, when Networks revenue was up 4%.  We expect total Local Media revenue to be down in the mid-single-digit range and Q3 local core ad revenue also to be down mid-single digits. By later this quarter, we expect to have renewed nearly all the pay TV households we are resetting this year. We continue to expect full year gross distribution revenue to be up in the mid-teens range and net distribution dollars to increase by more than 40%.  For Q3, we expect Local Media expenses to be up in the low single digits. That includes the cost of pay increases for key news-gathering roles at our local stations, aimed at attracting and retaining top journalists to serve our communities. Third quarter shared services costs are expected to be about $22 million. We expect an $8 million loss in other in Q3. Please see today's press release guidance tables for updates on a few below-the-line items.  For the full year, we continue to expect our free cash flow to fall in the range of $50 million to $100 million. We continue to place our highest capital allocation priority on paying down debt. We are on track with our expectations of realizing at least $40 million in annual savings from our company reorganization. We expect those savings to be mostly operationalized by the middle of next year. And we still expect to reach a year-end 2023 run rate of around $20 million in savings.  Now here's Lisa to share some highlights from both Local Media and Scripps Networks operations.
Lisa Knutson: Thanks, Jason, and good morning, everyone. We were very pleased that the Scripps Networks segment exceeded our expectations for second quarter financial performance. Scatter market advertising was the largest we've seen since late 2021. And we also outperformed our expectations for audience ratings in several key areas.  Despite outperforming on revenue, our Networks business still faces headwinds in the national advertising marketplace. We do see a few bright spots, however, including premium live sports, which has become the new prime time in terms of advertising rates and continue to attract younger viewers. I'll talk more in a moment about our Scripps Sports strategy, which is designed to take advantage of that marketplace.  And we continue to benefit at Bounce from advertisers who want and need to reach multicultural audiences. Bounce provides high-quality programming created specifically for Black viewers. And we're seeing nice CPM growth for those shows. In fact, in the midst of a challenging upfront for the industry, Bounce is commanding low to mid-single-digit rate increases.  Turning to the upfronts more generally. In the past years, we've seen that a softer upfront season has led to a rebound in scatter as advertisers get a better read on consumer spending. So we are cautiously optimistic about the outlook for the scatter market in Q3 and Q4.  Overall, during the quarter, general market ad categories were down, although we did see increases in consumer packaged goods as well as the entertainment and media category. In direct response, we continued to expect weakness until inflationary pressures ease and consumer confidence returns.  As Jason mentioned, our connected TV advertising revenue is being impacted by a change in strategy that led us to sunset a legacy CTV advertising product. Although this product in the past has accounted for a significant amount of revenue, it is low margin and out of step with the evolution of the CTV advertising landscape.  So we are focused on more profitable efforts around our networks' nearly ubiquitous CTV distribution. In fact, the launch of our networks across these platforms over the last year drove nearly 300% year-over-year increase in total hours of viewing. We expect network CTV revenue, excluding the low-margin programmatic product, to be up about 50% in third quarter.  Turning to the Local Media segment. I'd like to hit some highlights in our local core ad performance. We were pleased to realize for the fourth consecutive quarter of growth in automotive, which was up 13% in Q2 and made up 16% of our core revenue. Home improvement was up 8%. And we benefited from the Denver Nuggets' appearance in the NBA Finals this year. Average unit rates for premier sports in our markets can be more than 10x the average unit rate when we don't have a local team competing. This dynamic is an important driver in our Scripps Sports strategy.  Our largest category, services, was down 12% as it continues to be hit by inflationary factors. In addition, we continue to see local advertisers exercise caution and book advertising closer to airtime, giving us less visibility into our outlook. Also in local, we're continuing to grow our connected TV audience. Scripps local stations delivered a 29% increase in hours of viewing from Q2 of '22 to Q2 of '23. Today, we are getting about 0.5 million hours of CTV viewing a week across our local station group.  One more note about our local stations. We were proud to have won 98 regional Emmy and Murrow Awards as well as a Gold Telly. And on the Networks side, Scripps News won awards from GLAAD, SPJ and the Telly Awards and has been nominated for two national Emmys. And ION won three prestigious Promax marketing awards. We appreciate this recognition of our employees' hard work and audience impact.  Turning to our reorganization. Our focus is on collaboration and centralization. By bringing leadership from Scripps Networks and Local Media together into one enterprise-level management team, we are creating efficiencies and cost savings. And equally important, we're creating new business growth opportunities that leverage the power of all of our assets.  Our Scripps News network and our Scripps Sports division provide two great examples of how this is working. Scripps News is part of our Scripps Networks portfolio. As of late June, its programming also appears on 31 of our 42 news-producing local stations. Scripps News shows, including Morning Rush and In Real Life, are running daily on these stations. They are performing well with the local audiences and are offsetting local programming expenses.  In addition, Scripps News reporting is appearing frequently on our local news programs. For example, Scripps News and local teams have been working together to tell the story of this summer's weather extremes. We've covered warming waters off the coast of Florida, sustained high temperatures in the Southwest and the impact of the Canadian wildfires on our air quality here.  Leveraging the strength of our local market depth with our Scripps News broad national reach is resulting in stories with greater context and impact. In addition, we are freeing up local resources to concentrate on high-quality local news production. And we're building the Scripps News brand with local audiences across the country.  At Scripps Sports, we're looking ahead to the premiere of the Vegas Golden Knights on our second station in Las Vegas and Salt Lake City as well as seven other Scripps markets. We have converted our ION signals in Las Vegas and Salt Lake into independent stations that air live local sports. And we are still broadcasting ION in these markets, keeping our national reach intact.  This is a great example of how Scripps drives value through its strategy to best monetize our large spectrum holdings by taking a broad view of all of our assets. And through our new approach, we are creating incremental cash flow, growing our over-the-air audience and increasing our value through live local sports.  Also in the Sports division today marks 10 weeks of WNBA Friday Night Spotlight on ION. Ratings for these games have grown 42% since our first broadcast on May 26. Advertising demand is strong and Sports premium average unit rates are running 70% above those of our typical ION programming, delivering younger and more diverse WNBA fans.  As we move through our reorganization work and into operationalizing our changes, we are on track to realize the $40 million-plus in savings we previously outlined. And we remain focused on both aggressively tackling the near-term challenges in the media marketplace and creating a more efficient, cost-effective, high-performing business, one that is well positioned for long-term value creation.  And now operator, we're ready for questions.
Operator: [Operator Instructions]. We'll first go to Dan Kurnos with Benchmark Company.
Daniel Kurnos: Adam, two high-level questions for you. One, obviously, and given these comments around live sports and CPMs and where all the dollars are flowing, we know historically what your view has been about license acquisition. Obviously, some of your peers have decided to move upstream in terms of A, B for some of those deals.  I'm just curious, given the landscape right now, sort of what your appetite is for maybe potentially being a little bit more aggressive if you think that you can monetize better or more effectively some of those licenses that may be available out there that might be a little bit more costly upfront.
Adam Symson: Thanks, Dan. I think we've been appropriately aggressive. I still think it's necessary to bring discipline to these discussions. I can tell you, we're about two months out from the start of the NHL season. And sales for sponsorships and ads at the -- in Las Vegas for the Vegas Golden Knights has gone exceptionally well. I think that gives us a better understanding what the opportunity is like with additional rights negotiations both locally and nationally. We've also been very pleased, as Lisa described, I mean, we're seeing, at this point, with the WNBA, every ION WNBA telecast in July has been rated higher than ESPN's best WNBA telecast. So our thesis around bringing these sports events to over-the-air and a broader audience, I think, is bearing fruit. And as Lisa described also, that led to a 70% premium in AURs, or average unit rates, for prime time with WNBA over ION's traditional prime time audience. So we definitely see the payback there. But what we aren't going to do is irrationally invest. That's what got the RSNs into the position they're in. And what's necessary is both an aggressive play for us to move towards sports but also the understanding that we are bringing something of incredible value to the teams and leagues, linear distribution that reaches almost all of the households in a market or across the nation. And so that's key to our strategy. The other thing I would say that we've seen great success with is that when we've distributed our linear broadcasts with ION on CTV, we're bringing a product into the CTV marketplace that nobody else is bringing to FAST. And that's live sports. And the feedback we've gotten from our distribution partners there, too, has been very, very positive. So we definitely think we're positioned to continue to play aggressively. But we will also play prudently.
Daniel Kurnos: Got it. That's helpful. And it's kind of a good segue into sort of the high-level follow-up I wanted to ask. I mean, obviously, there's a lot of noise out there with the writers' strike, the actors' strike, et cetera. I think you guys have been pretty savvy in your own content rights aggregation, especially on that FAST topic, Adam.  And I just wonder as we head into more unscripted programming, if you could just sort of give us your thoughts on what's happening in the ecosystem around -- or outside of just dollars driving to live sports and the fact that you guys have a bunch of available content in the can as it were if the people need an outlet for advertising.
Adam Symson: Yes, I'm actually looking forward to the fall premieres because there won't be very many fall premieres. And the audience on ION, I think, is used to what they tune in on a nightly basis for. ION is already the fifth-ranked broadcast network, oftentimes fifth on cable as well when you discount or take out live sports and news. So from our perspective, that consistency, I think, is going to bode well for us from an audience share perspective as we head towards the fall, which typically can be disrupted by premieres on network television. I think, ultimately, the strike, as I mentioned in my prepared remarks, is going to lead to higher costs for streamers. There's clearly going to be progress made with respect to residuals on streaming platforms. Our strategy has long been to take the content that we are already paying for and to negotiate for the FAST rights and to move that content into -- with those linear streams into FAST with no additional cost, as I said, for high-margin revenue. The other thing, I think that will happen will be that as the streamers end up with higher expense structures even than they have today, they will continue to look for new ways to offset that expense or to monetize their own sunk cost. And I think that will open up additional programming opportunity for linear broadcasters like us.  I think it's now becoming recognized by the streamers that having distribution on linear, particularly over-the-air, is not cannibalizing their D2C products. It actually can represent a significant opportunity to be a barker channel for their D2C products. And so we expect to benefit on the content acquisition side in that way, too.
Daniel Kurnos: Got it. And just if I could squeeze one last one in, I don't know if for Adam or Lisa. Just on the network or the Networks guide, we've heard that national has been improving sequentially. You had a pretty -- a really strong quarter relatively speaking. You've been taking share. I know you guys are up against a tough comp. There's some element, obviously, of the sunsetting of that legacy CTV product that's in there.  But is there any other noise that's going on in Q3? Because it sounds like based on your upfronts and everything else, like Q4 should be substantially better. Because it feels like things are getting better from an overall perspective than the guide just a little bit, sort of just trying to reconcile this all.
Lisa Knutson: Thanks for that question. Certainly, some of the noise is the CTV product that we're sunsetting and offsetting some of that low-margin revenue. So that certainly is a factor. I would also say that the DR marketplace continues to be really hampered by the fact that inflationary pressures are keeping folks from being able to spend. And so we do see a little bit of green shoots in the DR space. And certainly, the fourth quarter is typically -- late third and fourth quarter are typically the higher quarters for DR advertising. We continue to see strength in the scatter market. I think we're -- with this being the last quarter of a broadcast calendar upfront, certainly, there are cancellations in third quarters that we have to then rewrite in the quarter. And so you may see some of that being masked by the cancellations that we're rewriting in the scatter market.  Remember, scatter typically is about 30% higher than anything that we sell in the upfront. So that could bode some upside potential for us in third and certainly as we move into fourth quarter. So hopefully, that helps clear it up a little bit. But I know with half of our revenue sort of in the upfront and scatter market, we do see some real potential, I think, over the next several quarters for that to continue to improve.
Operator: And next, we'll go to Steven Cahall with Wells Fargo.
Steven Cahall: Lisa, I just wanted to maybe dig into those comments just a little bit more. So if we think about the Q3 guide, which does imply that the revenue growth rate at Networks gets worse quarter-on-quarter, can you maybe help us back out what that transition in the CTV product does to that?  I know that there's some risks and opportunities from what you're saying in the third quarter, and you want to be a little bit conservative. But are you trying to imply that the ad market is worse in Q3 than it is in Q2? Or is it just kind of the mix of all that, that's getting to that guidance number?
Lisa Knutson: Yes, I think it's the mix of all of that. I am not implying that it's getting worse. In fact, as I said in, I think, my prepared remarks, we are cautiously optimistic about third and fourth quarter scatter. I think advertisers continue to book later and later in the cycle. And even the upfronts, I'm sure you reported on this with some of our national peers, even the advertisers were waiting longer and longer in the upfront negotiations to really book the dollars. And so some of that is the visibility that we see into third and fourth quarter and some of it is certainly the DR comments that I made earlier. The CTV piece of this again is really about a decision strategy that we are employing in terms of really looking at all of our products and making sure that we have high-margin products. And those that we believe are not as profitable, we're certainly taking a hard look at those over the course, both on the local and national side for sure.
Steven Cahall: And then Adam, I think you've tried to remain at the forefront of free TV and getting a lot of your broadcast content into connected TV, too. So I'm just wondering how you envision getting a lot of this network content onto CTV going forward, especially as you start to add more sports into the portfolio, and maybe in this period where there is less content, making sure it shows up on folks' home screens when they log into a connected TV and so they know it's there and can find it.
Adam Symson: Yes, I mean, I think you're right. We have been particularly active over the last 1.5 years since we acquired ION, first, very quietly acquiring the rights to the programming for the FAST marketplace, which was essentially relatively nascent at the time. And now obviously growing very quickly, I think there's ample evidence that audiences appreciate free, which I think will continue to benefit our holdings and our streams on CTV as well as OTA. With respect to sports, I mean, part of what we negotiate for is the rights to ensure that nationally, when we are acquiring national sports rights as we did with the WNBA, we have the right to distribute that into the FAST marketplace. We then have worked with our distribution partners to ensure that it's accretive to the overall deal. I would tell you the FAST marketplace itself has become very competitive. So I'm really, really glad that we've had that first-mover advantage and are in where we are.  At this point, our brands are garnering significant hours of viewing and the content is premium. So I think it puts us in a really good position from an operating leverage perspective as we work with those distribution partners. They want brands that are well-known. They want content that is well-loved. And that's what they get with the Scripps Networks brands. So it feels a little bit like the early days of even like YouTube, right, when everything was sort of a pile of stuff. And then that became the culling-down, where more premium content got better positioning.  What we see today is that given that ION, for example, is the only broadcast network in the FAST marketplace because we have those rights and no other broadcast network can do that and given that we've been so aggressive moving our multi-cast channels, which is monetization of sunk cost into the FAST marketplace, we think we've got really good placement on these platforms. So between OTA and CTV, we expect to continue to see significant growth in the consumers' adoption of free television, supported by advertising.
Steven Cahall: Great. And then maybe lastly for Jason, just as you're doing the big year for retrans with the net number up, I think 40%, as you said, is there anything that's different than what you expected, better or worse? And within that, what's your expectation for subscriber attrition is this year?
Jason Combs: Yes. So subscriber churn for us continues to be down in kind of that mid-single-digit range, it has been for a while and continues to be. In terms of the progress we're making, so as of the end of the second quarter, we've renewed about 2/3 of the total subs who were up for renewal. And by the end of the third quarter, we'll be north of 90%.  I'd say generally, we're really pleased with the progress we're making. And we talk often about maximizing our opportunity in pay TV ecosystem. And when you look at the progress we're making on both gross and net distribution dollars, I think you can really see that kind of coming to fruition.
Operator: And next, we can go to Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski: So mine is more of kind of a macro issue. This cycle has seemed somewhat unusual, given that there's been such a prolonged national advertising weakness and that there hasn't been a follow-up of weakness or extreme weakness in local.  And I was just wondering if you had some thoughts, given the past cycles, how this cycle is different and what -- and you're kind of telecasting that you think that national advertising is starting to show some sort of visibility or some sort of improvement. I was just wondering if you feel that local is going to kind of come back as well. Or do you feel like we might see local drag for some period of time?
Lisa Knutson: Mike, it's Lisa. A couple of things to unpack there. One, I think we're seeing one of our largest ad categories, automotive, come roaring back certainly over the last several quarters. In second quarter, auto was up 13% over Q2 of '22. And that was -- we had a strong April, May and June. And we're continuing to see that same trend as we move into third quarter. So that certainly helps to buoy the local ad space in particular. Home improvement has also been a category that has really bounced back in the last couple of quarters for local. And I think that you're going to continue to see that as well. And that's one of our top 5 categories. One of the areas that certainly has taken a hit a bit in the local side is the services category, which is made up of several different things: medical, financial, legal, so on and so forth. And that's really, I think, tied to discretionary spending and inflationary pressures on people's pocket books, that kind of thing. So I think it's a little bit of a mixed bag. Even in automotive, for example, the national ad marketplace, I think there was some stories saying that it was down in the high-teens over the course of the summer versus I've seen increases on the local side, and that's really being driven, I think, by trying to get cars off the lots. The domestic dealer groups were up like 35% in the quarter. Foreign dealer groups were a little bit down. But domestic manufacturers in terms of the automotive space were up 26%. So I think you're seeing some resiliency in the local space, especially as automotive has rebounded as well as home improvement.
Michael Kupinski: Lisa, I appreciate the comments on the auto. And so in terms of that percentage growth, is it coming more so from the dealerships? Or is it coming from manufacturers? And it's interesting that some have said that in terms of moving cars off the lot, others have said that maybe there's just not enough cars.  And so maybe it's a function of different markets. Are you seeing auto rebounding differently in certain markets? And then if you could just kind of go back and then tell us whether or not it's more promotional advertising. Or is it more manufacturers versus dealers?
Lisa Knutson: Sure. I would say we're not necessarily seeing any trends geographically that I would point to. I would say it's generally up across the country. Local dealer groups -- just to unpack sort of second quarter, local dealer growth were up 6%. And we see this really as a great opportunity in the coming months, especially as they're clearing last year's models off the lots and then bringing new -- next year's models onto the lot.  The domestic dealer groups, as I said, were up 35% year-over-year. So that gives you some insight into the dealer groups and local dealer groups. As I said, foreign is still a bit down, down about 5% year-over-year. And then manufacturers were up 26% year-over-year and foreign manufacturers were up 58%. So I think that gives you a little bit more insight. Not necessarily a geographic issue or a geographic play here, it's really, I think, strength across the board in our local markets.
Michael Kupinski: And Lisa, can you remind me what -- I think you already -- you mentioned this. But what was the percent of auto as a percent of total advertising? And then what was it at the peak?
Lisa Knutson: This quarter, it was 16%. And I think at its peak, it was probably low 20s, yes.
Operator: [Operator Instructions]. I'll move now to Craig Huber with Huber Research Partners.
Craig Huber: Maybe to start, I'd love to hear your comments on the Hollywood strike, obviously part of it has been going for 3 months here. Do you view that it's going to end up being a significant headwind for you guys or beneficial or sort of neutral impact if this thing keeps dragging on and on?
Adam Symson: I don't see it as a significant headwind for us, certainly not near term. Like I said, I mean, I actually think it could benefit us with respect to audience in third quarter. Longer term, depending on sort of what the deal ends up being, I also think it could benefit us. Because recall, we benefit when companies creating programming look to offset those costs through distribution deals.  And as I said, I do believe that the streamers in particular, have recognized the value, both economic and from a marketing perspective, of doing deals with their content in the linear marketplace, not being both -- it's not cannibalistic. And I also think it's the barker channel that everybody has long believed D2C probably needs. So I don't necessarily think it's much for us.  Obviously, for our local stations, it's not ideal for us not to have the kickoff of the season. But to be frank, some of the networks have continued to move some of that content -- to drop the exclusivity and move some of that content to their streaming platforms. And so I know that we'll be programmed well. I know we'll have compelling content. And I expect it to be mostly a neutral issue for our company. I know it's not going to be neutral for others. But it certainly in the near term neutral to positive.
Lisa Knutson: And Craig, it's Lisa. One of the theories that I have is, after this is over, and as Adam said, as studios need to monetize or recoup perhaps some of the increase in costs, I think that there may be a proliferation or a flooding of the market of new content and shows available to us, which I would assume, given the amount of supply, may also drive cost down. So that's something that we're keeping definitely an eye on.
Craig Huber: Do you worry at all that this strike with the lack of original content, scripted content, could help accelerate cord-cutting? Is that -- do you think that's a significant issue for you at all?
Adam Symson: No, I mean, I don't think this strike is going to be beneficial to the streamers. And so people still want to be entertained. They still want to watch television. And so ultimately, I don't see this as driving cord-cutting any further. I think there are other questions in the marketplace right now about cord-cutting that are -- that abound. But I don't necessarily see the lack of new content this fall season as -- or I would even say beyond this fall season because much of it is already locked and loaded as existential for cord-cutting.
Craig Huber: Then also your local TV stations, I guess, that down 5% core advertising performance in the second quarter in a rocky environment out there, can you just break apart, if you would, how local did versus the national categories?
Lisa Knutson: Certainly, when we take a look at the local versus national, certainly local or national over the course of the last several quarters has been hit a bit harder similar to what we're seeing in the Networks side, right? It's the same national macroeconomic trends that have played out in the local side. So it certainly -- it's been hit a bit harder. I would say, similar to my comments about Scripps Networks, we are starting to see some, I would say, green shoots on the national side, less declines certainly than what we've seen over the last several quarters.
Craig Huber: And my last nitpick question, the sunsetting of the CTV product. Can you quantify that for us, either a percentage or a dollar basis, how much that's impacting the revenues in the coming quarter?
Jason Combs: We did -- I think, within the script for Q2, we talked about sort of our growth with and without it. We're not breaking it out as we kind of move forward. But we said we were up 17% inclusive of -- or 18% inclusive of the sunsetting. We would have been up 80% in CTV revenue without. But we're not providing any detail beyond that.
Operator: And currently, no further questions in queue.
Carolyn Micheli: Thank you, Brad. Thanks, everyone, for joining us today. Brad is going to go over the replay information now. Have a good day.
Operator: And ladies and gentlemen, this conference will be available for replay after 11:30 Eastern this morning and running through September 3 at midnight. You can access the AT&T playback system by dialing 1-866-207-1041 and entering the access code 7872133. International parties may dial 402-970-0847.  That does conclude our call for today. Thanks for your participation and for using AT&T Teleconference. You may now disconnect.